Magnus Ahlqvist: Good morning everyone and welcome to our Q1 Call. We have a busy day today. We've have a board meeting in the morning and we now presenting results and then we have an AGM here in Stockholm which is starting in a few hours. So Bart and I am going to try to be a little bit brief than normal and wrap up at 03 o’clock, but still giving a good amount of time for questions. And if we’re looking then to the results on Q1, we’ve had a good start to the year with 7% organic sales growth and all the segments have contributed to the improvement. And as we have commented in previous quarters, we have continuously tight labor market but we have enable to balance the wage cost increases with price increases. And good top line growth together with cost control contributing the operating results, real change of 11% in the quarter which we are proud of. And we also had improved operating margin to 4.8%. And in terms of earnings per share, we have a positive growth of 3% real change. Our cash flow improved significantly in Q1 versus Q1 last year, but cash collection and cash management remain important areas of focus for us during 2019. We should also note that we have adopted IFRS 16 leases without restatement of the comparative period. But if you look at the other quarter, all-in-all we feel that we're off to a good start to the year. And then, we turn into the strategically important area of security solution and electronic security and here we continue with good activity in security solutions and electronics security in Q1. And these sales now accounted for 21% of the total sales of the business and 17% real growth -- real sales growth. And obviously, as we have had a quite strong growth, the base also keeps getting bigger, but good momentum in terms of solutions and electronic security. We also completed a few important acquisitions during the quarter that will help and enhance our protective services offering in a few important markets. And starting with commenting on the Staysafe acquisition Australia, and this is important for us because we will essentially strengthen our protective services offering, improve the guarding service delivery, but also then with a state-of-the-art momentary capability, also be able to offer remote data services and alarm monitoring in our solutions. If you're looking at Allcooper in the UK, another fine company that we have partnered with for a number of years. And with Allcooper, we will also then strengthen our protective services capability in the important UK market. So, we are very happy to welcome the team from Staysafe and Allcooper to the Securitas team as for Q1. But one of the most important priorities for us is to continue to strengthen our protective services offering, and to do that and for the benefit of our customers. And so in previous quarters, I would like now to share a new reference case and in this case, it's a reference case from the Danish company Maersk. So if you can please play that video. Good, also this I believe, it’s a good example where we started with a risk assessment sitting down with Maersk, understanding the needs and then we had developed, as we can see in this video, a comprehensive solution leveraging a number of our protective services. What I also believe is good about this case is that you also see that we’re able to deliver this solution not just in one location, but in numerous locations in different regions and different countries around the world. So, we’re leveraging the presence of Securitas, but also then to the great value to our customer in this case Maersk. So with that, let us now then turn to the performance in the different segments. And starting with North America where we had a solid start in 2019, which is 6% organic sales growth despite strong comparative from last year, but we should also highlight that we lost a few large contracts in the quarter but we have healthy overall commercial activity in our North American segment. And if we then turn into profitability, solid improvement to 5.7% in the quarter and this is based on good performance across all areas of the business. Looking then at Europe, we had solid growth also in Europe in the quarter and organic sales growth came in at 4%. And this was supported by strong contribution from Belgium, Germany and Turkey but some negative impact from France and Sweden. If you’re looking at security solutions, electronic security we had 22% of the sale in the quarter from solutions and ES. If you look in then from a profitability perspective in Europe, we saw an improvement of 5% and this was supported by good leverage and some impact from the cost reduction program which is going according to plan. So, the margin was hampered by start-up cost in a few contracts, the loss of a profitable contract in Sweden and we also faced challenging or continued challenging condition in our French markets. And looking down at Ibero-America, we had a good quarter overall and strong support from solid performance in Spain. Spain once again is setting a very good example in terms of stock top line as well as bottom line development. Organic sales growth in the segment was 19% in Q1, and we had strong double-digit growth in Spain. And if you’re looking then at profitability perspective, Spain like I mentioned all clearly contributing and this is very much thanks to our successful solutions business. But we should highlight like we’ve done in the previous quarter that we have some short-term contracts and we highlight that more to the prudent because we do not know when those might be terminated. The operating margin in Argentina burdened the results in Q1, as we commented in the previous quarter, we are not happy with the performance and we expect continued challenging conditions in the near-term. And with that, I am happy to hand over to you Bart for some more details on the financials.
Bart Adam: Okay and many thanks Magnus. Before we go into the numbers today, it’s a bank holiday in the UK, and to the people based in the UK, a very solid for breaking into your bank holiday but specially thank you very much for being with us here today as well. Thank you. So, let’s take a look into some further financial details into the quarter and we start with the income statement and some details around that. I believe as Magnus said also that we had a very good start to the year. And as of Q1 now, we have adopted the IFRS 16, which is the standard that deals with leasing contracts. In essence, as of 2019, all equipment at this lease is considered as assets for accounting reasons. We’ve implemented this standard without any restatement of competitors. So, all of our existing contracts we have accounted for as if they started on January 1. And there is an effect on our income statement and as you can see here in the small table in the right upper corner, there is a positive effect of plus SEK17 million on our operating result, but then a negative effect on financial items of SEK36 million, so a net negative of minus 19 on income before tax. And then moving to the next item here, we counted for SEK20 million as items affecting comparability in the first quarter and this of course relates to the transformation programs we commented upon before. We have now made a further level of detail in the planning related to 2019, and we currently expect that we will recognize around SEK200 million of items affecting comparability for 2019. Everything depends a bit on how fast we can implement certain matters and when exactly will be incurred in the course connected to that. Then the remainder will come in 2020 with potentially some costs running into 2021 or we will take everything at the end of 2020. The total cost of SEK660 million is still the relevant amount to account it. Then as to the financial income and expenses that is minus SEK139 million in the quarter. As said before, being negatively impacted through the adoption of IFRS 16 leases for SEK36 million and then further some negative impact compared to last year to increase net debt and then also the development of the U.S. dollar currency rate compared to Swedish kronor. Let's go further down then and we take a look at our tax line. Our current estimate is at the full year, group tax rate in 2019 will be around 27.8%. That is an increase compared to 2018 and it's mainly due to reverse effects from U.S. tax reform and this is then related to the introduction of the tax on foreign payments to so-called BEAT. This BEAT then reduces quite importantly some of the positive effects from the nominal tax reduction in U.S. I should also add that BEAT by itself makes the calculation of the effective tax rate a bit more difficult to forecast and it is more sensitive to certain elements in the income statement. You then notice in the bottom here, a small difference between EPS and EPS before items affecting comparability, relating of course to the earlier mentioned items affecting comparability of SEK20 million related to transformation programs. Okay. Then we turn to the next page and we take a look at the effects from the different currencies. And as always, the numbers here mentioned to the rights are the foreign exchange end rates in Swedish kronor measured at quarter and compared to the same quarter last year. And as you can see here, the U.S. dollar has further strengthened to the Swedish kronor during the quarter. And at the end of the quarter compared to the same quarter, it means an increase actually more than 12%. The euro during the quarter was more around 10.3 to 10.4, so much more stable compared to the U.S. dollar. The Argentina peso continued to be around minus 50%, compared to 12 months ago. And a drop is especially then that's happened since May to September last year. So then, it has been more stable since October you could say, the Argentina peso. Due to then a special end effect from the U.S. dollar, as you can understand, our quarterly consolidated income was positive affected comparing to last year and so nominal numbers got quite some tailwind from the currency. On all sales level, there is a 6% tailwind and that you can see from the difference between total change and real change and on operating results the difference was 7%. And then, I would just also like to points for second at de-leverage that happens in between operating results and net income. And mentioned also at the outset of the presentation, the real change on operating income level is 11% while the real change on EPS before items affecting comparability is 3%. And that difference is entirely due to the highest financial items and also due to the high FX rate. Then turning to the cash flow and the balance sheet, it shall be noted that the net cash flow is not impacted from IFRS 16. So, the impact is on the income statement and on the balance sheet, but there is no impact on the net cash flow. However, while the net amount -- I mean, the net cash flow is not impacted, some of the individual lines are actually impacted in the calculations. We see here net investments of minus SEK67 million and that resulted from investments of minus 707 and reverse of depreciation of 640. One shall then understand that IFRS 16 leases impacted that the investments with a bit over SEK200 million actually and it impacted the reverse of depreciation also with a little bit over SEK200 million. So, with IFRS 16, our CapEx gets now inflated and that is around somewhere around SEK2 billion per year to an amount of more SEK2.9 billion under the new measurement, under the new accounting. Meaning that you could for instant expect sizable impact in a quarter where we would sign a new rental contract for a large office building with a long duration that could then in that quarter have a larger impact on the measurement of the investments in the quarter. As you know, there is some seasonality in our operating cash flows. We had a substantial cash flow improvement compared to the same quarter last year, and so good improvement, but all in all, we are not fully happy yet with the DSO achievement. So, we have further analyzed and we have further worked with issue and action plans are ongoing. Moving to the next slide and we look at our debt and this stands now at SEK19.3 billion from SEK14.5 billion at the beginning of the year. And this is here you need to get a little bit more acquainted actually with the numbers after IFRS 16 also. The main difference related the implementation of IFRS 16, which made a net debt increase with almost 3.5 billion Swedish. And then of course, we have the development from the operating cash flow as just explained, and then the net debt was also impacted from the foreign exchange development largely from the U.S. dollar. As you can see it on the slide, that added SEK451 million in translation to net debt since January 1st. Then to the far right of the slide, the net debt in relation to EBITDA is on 2.8 and that is after IFRS 16. And as I said, IFRS 16 had acquired substantial impact because now the net debt fully include the entire effects from IFRS 16 while then our 12 months rolling EBITDA all includes one quarter with the effects from IFRS 16. The net debt to EBITDA before IFRS 16 then stands at 2.4, and so only by including more quarters with EBITDA measured after IFRS 16, our leverage shall come down itself with about 0.3. And then seasonality of our cash flows will now increase the leverage at Q2 and then go down again in the second half of the year. Then we go to the next slide and here we have tried to summarize the effects of IFRS 16. So as a summary here, there’s a net negative impact to the income statement. We do see an important impact to the balance sheet with an increase net debt of assets of -- increase of net debt an asset with about SEK3.5 billion and then EBITDA of course changes also substantially because previously what was operating expenses have now become depreciation and interest. Then there is no impact to the net cash flow, but we do see increase demand recognized for investments and for reverse of depreciation. For your reference here, we have included some KPIs before and after IFRS 16, so that you can see the impact and the development of the different KPIs. This table you’ll also find in the note 2 to the report together with all their explanations in IFRS-16. The good news is so to say that the rating agencies followed already for quite sometimes, the KPI is pretty much in line with our IFRS 16 treats leases and Securitas is rated BBB from Standard & Poor's, but maybe to note to that our outlook was changed recently from stable to a positive outlook. And with then this positive outlook, I would like to hand back to Magnus but also would like to say one more thing. We have reworked a bit the quarterly report with the main goal to make it as clear as possible for the readers for the audience. We work with the tables and headers and all the difference as smaller indicative and I hope you like it. But I want especially take the opportunity here also to thank all of our team, the people that helped producing the numbers and the tables and wording, and so and many thanks for that to all of our teams. And with this, I’m happy to hand back to the Magnus.
Magnus Ahlqvist: Very good. Thank you, Bart. And you have no small role yourself in that work. So with that, before we open up the Q&A, I would like to make a few update related to the strategy work. And if you look me at the position that we have today, we have a strong position. And as we have shared in some of the previous updates, we have a good position and presence, but we also see good opportunity to leverage this presence and our customer business relationships to drive the development in the next phase. And part of this is obviously related to how do we work to strengthen our protective services albeit to respond. The other one is then also related to how do we leverage the vast amount of data that we generate to be able to enhance the quality and security to our customers. So, when you’re looking at what we’re focusing on in terms of delivering in 2020, it’s focused on three different areas. One is on our client engagement and this is then looking at all the ways that we are interacting with customers. And second one is continued to strengthen the protection solutions leadership. And like I mentioned earlier we are happy to also then complete the few new acquisitions in Q1 and we're continuously looking at acquisitions that are attractive to specially then enhance our electronics security capability. And then the last effort is related to modernization and digitalization and also then enhancing efficiency. And a lot of that is important because that is we also have the enablers. So building a platform which will be enabled us to launch more digital products at scale as we go forward. And but if you then look in back into few months, in early February, we announced two major transformation programs to help and drive this changes. And the objective with the first program is to radically to modernize our global IS/IT, building a strong platform and capabilities throughout the group. And we do that for the two main objectives. One is efficiency and the other one is to be able to launch more digital products and to scale those across countries and regions more quickly. And the second program, which we are in the middle of the square is our word North America business transformation program, where will be looking at number of different activities to help and operate our business in a more effective way. And also this program are long term programs as we have communicated previously, but I'm also glad to say that we are progressing according to plan. So when you look at Securitas today, we have a strong foundation and we also have very exciting opportunities ahead. So looking at the lower part, which is representing our foundation, we are looking continuously as we try strengthened our core, which is guarding. we continue to invest in what is here the middle layer in terms of our protective services and capability to ensure that we don't only have the best offer to the customers today, but also in the future and now taking the first steps in terms of launching more data-driven products and driving more data driven innovation for many years to come. So to conclude, we had a good start, solid growth and year-on-year operating results improvements and we continue to invest in our strategy and are also excited about the opportunities that we have in the mid and the long-term too to ensure that we continue to lead the development of this industry and that could bring the best value to our customers. So, with that, I think Bart and I have to open up for questions. But like I mentioned at the beginning, we have an AGM here in Stockholm right after this call. So, we will try to wrap up at the latest 3:00 PM CET, but now then happy to open up for questions.
Operator: Thank you very much. [Operator Instructions] And our first question comes from the line of Chirag Vadhia of HSBC. Please go ahead. Your line is now open.
Chirag Vadhia: Hi, there, just got three questions. Firstly, could you talk about where is the poor base of the organic growth came from, and if you can -- if you expect to see similar rates throughout the year? Second question, what level is the current and fully churn rates, and what mechanism do you to pass the wage increases on with clients going forward? And finally, on M&A activity, how do you view M&A in the U.S. guarding market given the recent activity by the larger competitors in the space?
Magnus Ahlqvist: Yes. So, thanks for those questions. If you look at your first question, when you say, where is it coming from? The fact is that, this is fairly broad based growth. We have contribution from all the segments. We also had when you looking at some of the termination, et cetera, they did not happen until of the quarter. We mentioned a few contracts in North America for example. So they did not have any material impact in Q1. But I would say that, the growth is really coming down to the fact that, we have good a good offering, generally speaking good commercial activity and we’re also retaining and pretty good that retaining our customers. But then, there is obviously competition and that is the reason that we have lost a few contracts as well that we would have liked to keep. Maybe I can save question number two for you later on Bark, but if you look at this third question which was then about guarding acquisition interest in North America, if I understood it correctly. We have a very strong team in North America. We’re winning organically and when we look at where are we investing, where it’s strengthening the other parts of the protective services. We have stronger guarding capability. We have invested significantly as you know in terms of the Diebold and then last year, closed the Kratos acquisition. So from my perspective, guarding acquisitions in North America is not a high priority. And if you look and extend that question to a global perspective, the focus is really more on electronics security and some of the other protected services. More generally, when we look at our acquisition interest, but you could see other markets though, but that’s a different question. You feel free to ask that later on where we could be more interested in, if good opportunities come up, but not primarily guarding in North America. Maybe Bart, if you want to comment on the second question?
Bart Adam: Yes, on the employee churn as published in the annual report, we are at around 40% for the totality of the group and that is pretty much in line with the number from the year before. I should mention however that we have done a small re-measurement there because our number before included you could say temporary start as well. That for some reason was measured as churn, but it has nothing really to do with churn, probably if you take it from the legal. And yes, those people who are coming and out from the Company, but -- so, that is something we have corrected, but that is only minor correction. But it's on the same level as last year for the totality of the group and you've questioned also about the wage increases. And yes, we pass on that of course in the prices and as mentioned about before we have had quite some discipline and focus on this throughout the years. And you could say on average or price increases are around 2% during any cycle, and then that turns out to be a bit higher in group economical times to be between 2% and 3%. And last year, we were already in the higher end of that 2% to 3%. And now this year, it seems like the price increase will also be a bit ahead of actually where it was last year. And Q1 and Q2 are very important for our price increases. That is a key quarters and so far, we have been good, we have been on bar. But of course also the last negotiations are always the toughest one I should say. So, we will come back to this matter also at the end of Q2 then.
Operator: Thank you. Our next question comes from the line of Edward Stanley of Morgan Stanley. Please go ahead. Your line is now open.
Edward Stanley: Thank you. I'll try to be quick. A couple, if we try to breakdown the 17% growth in solutions and electronics security, can you give us an idea which geography that's predominantly coming from? And secondly, in Ibero, Latam, you mentioned in the coming quarters or the near trend how would you describe it you expect that remained challenging. Can you give us a sense for how many quarters before you think you turn the corners there? And finally on IFRS 16 because of the leverage increase, does that change anything about the way you think about M&A in the coming year or two?
Magnus Ahlqvist: Could you repeat your last question?
Edward Stanley: In fact of IFRS 16, if that -- I mean, how that affects leverage and if that has an impact on M&A thinking?
Magnus Ahlqvist: Okay. Yes. So, thanks for the questions. If you look at solutions electronics security, we have a healthy growth over 17%, and this growth is in the momentum is pretty good across the different segment. Obviously, you have part of that is organic, part of that is also down held by acquisitions. But when you’re looking at all the different segments, it is pretty good momentum across the board, which is important and it’s a good think because this is obviously an important aspect of our strategy that we continue to drive to really increase our solutions, the electronic security share of the total business. And if you look at the second question, I think you've asked about Ibero-America and Argentina. Well, we have not been happy with the development in Argentina like we communicated in previous quarters as well. So part of this has been microeconomic conditions that remain challenging and but we’ve also done some leadership changes as well. And I think we have kind of long cycle business. So, typically when we have some challenges and it typically takes a little bit of time until really back to a level where you want to be. So I think that is as much as we can say, but difficult to say at this time is a metro three or six or nine months at that, but this is what we see and obviously putting quite a lot of emphasis on improving this as we go forward. Maybe Bart you want to take the IFRS 16.
Bart Adam: Yes. I mean, there is an impact now on our leverage as it is calculated, but as mentioned before as well, the rating agency is already calculated in this way. So, from that perspective, there is no real impact in the way that we should be rated and that is of course what is important also when it comes to acquisitions and the capacity we could have there. And by itself, the real effect from IFRS-16 once we have been to the cycle so to say four quarters further down the road or three quarters additional to this first one, we will come back into around 2.3 to 2.4. So that is a very normal level of leverage we are seeing before and then depending on the cash flow during the year it could be even be further down from the 2.3, 2.4. So, there is no really big effect to be expected from IFRS 16 on our acquisition capacity.
Operator: And our next question comes from the line of Bilal Aziz of UBS. Please go ahead. Your line is open.
Bilal Aziz: Good afternoon. And two from my side please. And first in Europe, and I think you've suggested some large contracts were drive due to ramp up cost. And can you give a bit more detail on where these are based and how you expect that to fare through the rest of the year? And the second one just a bit of clarification, Bart, I think you've said SEK200 million all transformational cost this year and the remainder IFRS 16 last year. Just clarifying, is that correct?
Magnus Ahlqvist: Yes. So, on the first question, Bilal, we have one a few contracts so they are helping the organic sales growth, but like we have highlighted, they are burdening the margin in Q1. And we see that there will some impact from that as well in the near-term. So, that is as we are optimizing and building up and scaling up according to those contracts. I should mention as well that we highlighted in the previous quarter that, there is one larger daughter contract in France that we communicated three is months ago, which is terminating now during Q2. But this is obviously part of the ongoing business, we have a strong offer. We have good commercial activity, but we highlighted because they've also been more substantial impact from this contract. Do you want to take second?
Bart Adam: Yes. On the items affecting comparability, it is exactly as you've phrased Bilal. The totality for the two programs is still at around 650 in line with what we have talked about before. The impact for this year is a bit lower than maybe lower than what we have been thinking before. The reason for that is that, yes, until we could disclose this to the world, these were insider projects with an inside registration on them. And then of course, now we have been able to answer into the next level of detailed planning, and then for this year, we planned that we should have around SEK200 million of items affecting comparability for 2019.
Operator: Thank you. Our next question comes from the line on James Winckler of Jefferies. Please go ahead. Your line is open.
James Winckler: Hi, guys. I think a lot of them are answered. I'm just wondering, if you could give anymore color on the lost contracts in U.S. near end of the quarter? I'm wondering, if they are significant enough to where we should be considering a certain impact from either a growth perspective, margin perspective or both in the coming quarters within that division? And then, if you could just reiterate the staff turnover and maybe, if you give any color on a division basis, how that growth? That will be great. Thanks.
Magnus Ahlqvist: Thank you. James. I mean, they are -- there are a few large contacts and that's the reason that we highlight, but we don't specify specific numbers. So, there will clearly be an impact, but this is also the reality. I mean some years we might lose a few, some years we do not. Now, we lost a few and that's the reason that we highlighted. I should also emphasize that we are meeting strong competitive as well in the second quarter in terms of organic sale growth. So I think that something which is also just important as to keep in mind.
Bart Adam: Yes. And may be to add to my view is that, that effect for North America is expected more to be on the organic sales growth than on the margin.
Magnus Ahlqvist: On the staff turnover, yes, I commented that the numbers is 40 for the totality of the Group and we have not split that out for division. We have not reported on that. So, we will not comment on it either now in the call.
Operator: Thank you. Our next question comes from the line of Carina Elmgren of Handelsbanken. Please go ahead. Your line is open.
Carina Elmgren: Yes. Hi. I have two questions. One is regarding the coast savings program that you having in Europe. That you say is going according to plan. How should we think about going forward? Do you expect that to be same in the coming quarters? Or do you expect the positive effect then to increase going forward? And the second question is related to the contract that you mentioned. Did I understand correctly that the big contract in North America that you have lost towards the end of the quarter. And if that's the same for Sweden where I think you also mentioned you lost the contract. And then, if you could maybe say a little bit of about in what sectors these contracts are?
Magnus Ahlqvist: Yes, so, if I start Carina, the impact from the cost reduction program in Q1 in Europe was around 20 million, and we’re expecting gradual increase of that for the remainder of the year and just to give a fairly clear view in terms of where we are. And if you look at the contracts in North America, yes, it’s correct. They were towards the end of Q1, so no material impact in terms of the Q1 figures. And if you’re looking at Europe and more also referenced in the comment that we made related to the Sweden. That’s a bigger contract that we terminated end of last year. So that will have an impact on year-on-year comparison basis up until November or the December timeframe, this year. And then, I'm not sure what’s your other question related --
Bart Adam: I could just add that the gradual built-up on the saving program expect to have around SEK100 million of savings from the totality of the year. And the larger contracts in North America there, they stopped actually on 1st of March that was when the impact really happened.
Operator: Thank you. Our next question comes from the line of Karl-Johan Bonnevier of DNB Markets. Please go ahead your line is now open.
Karl-Johan Bonnevier: Yes, good afternoon. Sorry for coming back to these lost contracts, but yes, the final one on those. Are they in the technology space or are they pure guarding contracts that you're talking about? And then also on the business transformation study that you’re talking to about doing in Europe to see that the same kind of opportunities that you've found in the North American operation. Have you come to any conclusion there?
Magnus Ahlqvist: Yes, so, if you look the North American contracts or primarily guarding contract. If you're looking at the contract in Sweden, that was a profitable contract and also then a mix of different protective services. And then in terms of the second question, Karl-Johan, you asked about the transformation programs and…
Karl-Johan Bonnevier: Before that you were looking to do a case study for the European operation, if there was a similar opportunity.
Magnus Ahlqvist: We’re right in the middle of that work. So, we will come back as we previously communicated in the second half of this year with more information in terms of what is feasible or not to do in Europe.
Bart Adam: And the main guidance there will be the return on investment over longer term period.
Magnus Ahlqvist: Absolutely.
Karl-Johan Bonnevier: But if we look at your business structure in North America and compared it to Europe. Do you think there is a similar kind of group-wide European opportunity as you have found in the U.S.? Or it would more country by country?
Magnus Ahlqvist: Yes, so if you look at North America, it obviously the way that we operate and also then when you look at the underlying dynamics its one big country and then you have Canada and Mexico. We have more of a shared service set up and structure already in place in North America. And if you looking at Europe, we have been growing more on a country-by-country basis, so the starting points are quite different and that is also the reason that we have taken the pre-study and really analysing this carefully before we are designing and engaging and saying, this is what we’re believing it to do in the short to mid-and the long-term in Europe. So, the starting point, I think, like you correctly assumed, are quite different.
Operator: Thank you. Our next question comes from the line of Allen Wells of Exane BNP Paribas. Please go ahead. Your line is now open.
Allen Wells: Hi, good afternoon Bart, Magnus. Just two very quick ones and just around the Ibero-America business, I’m not sure I missed this earlier. But can you quantify the benefits from the short-term contracts uplift that you've touched on in the report. And any sort of comments that you can make in terms of timing. Will this still be a benefit in Q2 or will they roll away quite quickly? And then second question also just on Spain. Obviously, you've still seen pretty good growth there. And then if you could just quantify what underlying market growth looks like in Spain at the moment? And exactly who you’re taking shares from? And why you’re taking share in that market versus peers?
Magnus Ahlqvist: So, the Spanish contract, I mean the short-term contract that we mentioned. There is obviously certain significance when we look at the both of the impact, but I should also mention that we have strong overall momentum in Spain. So, lot of the progress that we are making is coming from ongoing more normal long-term part of the business, if you will. So, I think that is one important clarification. So, that is one. If you look at then at our Spanish business, I think for those of you who have followed us closely over a number of years, I think this is a very good example where we have a very tough situation in the middle of the financial economic growth in Spain as you going back to 2011. We have continuously being investing and what we have seen in the recent quarters is that we are growing, going from strength to strength I would say, thanks to the protected service offering. So, we’re winning quite a lot with our solutions capability. But we have also seen in recent quarters that some of regarding customers that we have lost previously are starting come back as well. Because they appreciate and know now what they lost around this discontinued services and a number of those they are also coming back. So, I would say that we are really winning with the good momentum thanks to the great work that our Spanish team is doing.
Allen Wells: Sorry guys, quick follow up. In terms of who that you’re guiding share back from this coming from other key larger players. Prosegur, et cetera? Or is it coming from maybe sort of smaller mom and pop shop where very aggressive on pricing to keep in business during the downtime and now you’re willing suffer. We're trying to differentiate between who’s losing here the bigger guys or the smaller guys?
Magnus Ahlqvist: Yes. It’s a bit difficult to generalize. I think we are generally winning in the market, but that is say, I mean there were a few companies that have also gone out of the business in the last couple of years because they were too aggressive and responsible in terms of how they’re managed their income statement or importantly their people. And that obviously then probably helps us well. It’s just a little bit generally speaking more healthy situation in the market overall, but we cannot really say that we’re winning more from one specific category of our competitors.
Operator: [Operator Instructions] And there are no further questions at this time. Please go ahead speakers.
Magnus Ahlqvist: Okay. In that case on behalf Bart and myself, we are happy about the first quarter. Our team is doing a tremendous job across all the different segments and the different countries. So thanks for dialing into for good question. Thank you. Bye, bye.